Johan Andersson: Hello, everyone, and welcome to the presentation of Husqvarna Group's report for the fourth quarter and fiscal year 2024. My name is Johan Andersson. I'm responsible for Investor Relations and will be the moderator here today. With me here in Stockholm, I have our CEO, Pavel Hajman; and our CFO, Terry Burke. Pavel and Terry will start with a presentation. And afterwards, we will open up for a Q&A session. And you can ask your questions over the telephone conference or you can enter them in the web interface, and I will read them out loud here in Stockholm. So with that, I thank you very much for joining and give the word over to you, Pavel.
Pavel Hajman: Thank you, Johan, and good morning also from my side. Warm welcome, and let's start with an overview of quarter four as well as the full year. So we ended the year in line with our market guidance that we issued before Christmas. And notably, we also delivered a very solid cash flow for the smallest fourth quarter. Good to see is that we grew in seasonal products such as petrol and battery handheld products, but we also actually grew both in wheeled and parts and accessories. Generally, as we have communicated earlier, market conditions this year have been challenging, and that also continued in quarter four with cautiousness among our dealers and retailers. And we continued our transformation and improvements in North America and have just announced today a long-term partnership and divestiture of our largest manufacturing site, and Terry will provide some more financial details on this later. And if we zoom out and we focus on the full year, it was a difficult year for us with a challenging operational environment, as I said earlier, but we have been focusing our execution on our strategy and adapting the organization to really drive efficiency as well as our continued transformation. And as a result, we are today leaner, more focused company. And importantly, we have a lower cost base. We have also delivered strong growth in professional robotic mowers, a segment that achieved a good double-digit growth for the year as well as strong growth in our battery-powered products. And to mitigate the market situation, we have taken proactive measures and advanced our ambitious cost-saving programs and successfully delivered on those savings targets. And despite this, our results and margin is down for the year mainly due to lower volumes, lower capacity utilization in our factories as well as an unfavorable product mix. On the positive side, though, we generated close to SEK 7 billion in cash flow where inventory reductions were the key to that success. And from that, we also clearly lowered our net debt. And I'm also very pleased to say that we delivered on our Sustainovate targets continuously. So with that, let us dive into the financial details for the quarter. Starting with net sales, that declined by 3% organically. It was mainly related to the continued challenging market with cautious behavior from dealers and retailers. And product categories that are down in quarter four are watering, robotics and construction products. We did deliver growth in seasonal handheld products for both petrol and battery powered, as I said earlier. Wheeled products, also parts and accessories, they grew as well. And as a backdrop and a reminder, this is the smallest quarter for us as we are now transitioning into the 2025 season. With lower volumes and capacity utilization as well as increased promotional activities, the group operating income amounted to close -- below SEK 700 million negative in EBIT. A decrease that was also partly offset by good results from our cost savings program and also positive FX contribution. Direct operating cash flow improved due to better cash flow from changes in trade payables, but mainly also the inventories, as I mentioned. And for the year, we have reduced inventories with SEK 3.3 billion when you FX-adjust that. We end the year also with a good reduction in net debt compared to last year. As for robotics and battery, the share of group sales is 20% on a 12-month rolling basis. And importantly, we continued our growth trajectory in boundary wire-free residential robotics, where our Husqvarna NERA product line has a strong position. And we have announced an extensive launch program this upcoming season, both for Gardena as well as Husqvarna brands of a complete new assortment of robotics. I will come back to that later, but let me then pass over now to Terry for some comments on the divisions. Please, Terry.
Terry Burke: Thank you, Pavel. Moving on to the Husqvarna Forest & Garden Division. Flat organic sales in quarter four with an operating margin of some minus 5.2%. There was growth in handheld, wheeled, battery products and parts and accessories, which was good to see. However, we did have a negative operating income development that was impacted by the lower capacity utilization, some promotional campaigns during the quarter and unfavorable mix, which was partly offset by some cost savings. For the full year 2024, we had an organic sales decline of some 8% and an operating margin of 7.8%. Moving on to Gardena Division. Organic sales in the quarter was some 8% down and an operating margin negative 30.7%. Of course, quarter four is a very much out-of-season quarter for Gardena. We did have growth in hand tools segment. However, our watering business decreased, and that's really a carryover from quarter 2, where the unfavorable weather conditions had an impact on the sales and the performance and the higher inventory levels in the trade. Cautious retailers, as I said there, a little bit earlier. There is higher inventory levels for watering within the trade, and that's a reflection of the quarter and the cautiousness of the retail partners. The margin was also impacted through this negative volume and negative mix, but also partly offset by cost savings. Full year for 2024 organic sales declined by some 5% and an operating margin of 6.7%. Construction Division. Organic sales declined 9% in the quarter four with an operating margin of 5%. The trend of sales has really continued throughout the year, where we have seen a small positive sales growth in Europe. However, that was -- has been more than offset by a strong weak demand in North America, and that's really continued during quarter 4. We've had good sales performance in power cutters, demolition robots and parts and accessories. However, that wasn't enough to offset the lower impact of volumes, capacity underutilization, et cetera. We did offset partly with cost savings. Full year organic sales declined some 7% and an operating margin of 8.4%. The quarter four EBIT bridge, first of all, maybe just to point out, we did come in within the market guidance that we announced during December. Moving from left to right, quarter four '23, we were at a margin of 1.9% negative. With the lower sales, we've also had impact in unfavorable mix, underutilization as we've continued to drive inventory levels down, et cetera, and promotional campaigns. There's a negative SEK 705 million impacting us. Our cost program -- cost savings program is performing, is delivering, and in the quarter, it was SEK 145 million. We had a small negative headwind in raw materials and logistics of some SEK 75 million. And we had quite limited restricted transformational initiatives with only some SEK 10 million in quarter 4. We did have a currency upside of SEK 125 million, really driven by the weakened Swedish krone, and that landed us with an 8.2% margin in quarter 4. The full year EBIT bridge is pretty much a mirror image of the quarter four bridge in the sense that we moved from a 9.3% margin, and then we have a big negative given our price development, which has been negative in the year; our volume impact with our sales being down; and also unfavorable mix and underutilization. So all of those factors have impacted us by some SEK 2.6 billion during the course of the full year 2024. As I said, cost savings program is on track, and SEK 735 million of savings have come through during 2024. Slight headwind of raw materials and logistics of some negative SEK 145 million. And within the year, we did continue to invest in our transformational initiatives of some SEK 150 million. Currency upside for the full year also due to the weakening krone of some SEK 375 million, leaving us with a margin of 6.6% for the full year. I have touched upon it within the EBIT bridges, but maybe just to frame it and summarize. Our cost saving programs are delivering. We have already realized SEK 1.1 billion of savings, and this is really linked to our 2022 and 2023 programs that we have previously announced. Those two programs had a targeted savings of SEK 1.2 billion. And as I said, we have already now realized SEK 1.1 billion. And as you can see, 2023 was SEK 380 million of savings and 2024, some SEK 735 million. So we have another SEK 100 million of savings carryover coming into 2025. During Q3 of 2024, we also announced a further cost reduction program addressing fixed costs of some SEK 500 million fixed cost saving and that was really with regards to 400 -- more than 400 positions being taken out of the organization. We are on track with that. We have executed well so far in the program, and the majority of that SEK 500 million savings will come during 2025. We announced yesterday evening that we are entering into a strategic partnership with Flex, Flex being a global leader in manufacturing and supply chain solutions. What this means is we have divested our manufacturing facility in Orangeburg to Flex. This really announce -- enhances us to be more competitive in the North American market within the Forest & Garden Division. It's a long-term supply agreement to continue to supply local wheeled manufacturing and assembly of handheld products. So please let me be clear here. This is not about exiting any business. This is about switching the manufacturing and our long-term commitment and supply agreement with Flex. Approximately 900 employees will be offered employment with Flex and hopefully transferred over. And then from a financial perspective, this will overall improve our profitability, deliver cost savings and capital efficiency. Maybe let me start with the capital efficiency and the sale of the assets. In our balance sheet, and we'll come on to that a little bit later, we have some SEK 1.4 billion of assets held for sale to Flex, and that will happen during 2025. The majority of the cash flow will come in 2025 of the sale of that SEK 1.4 billion of assets. Breaking those assets down, SEK 500 million of, let's call it, fixed assets, plant and machinery and equipment and then some SEK 900 million of inventory. The plant and equipment will be sold immediately. And then the inventory, the SEK 900 million, will be sold over the course of 2025 as it is being consumed. Total savings of SEK 350 million after -- by the end of the 5-year agreement. Full year effect 2030 of SEK 350 million of savings. And we did book a onetime cost in quarter four of some SEK 250 million. This really allows us to focus on our strategy execution much more on the front end and really drill down and improve our customer focus for the Forest & Garden Division. So we're really pleased with this transaction. Moving on to the balance sheet. What you can see here is -- the first thing maybe to call out is these assets held for sale, and you can see this SEK 1.4 billion I was just referring to with regards to the sale of Orangeburg to Flex. So we call them out specifically, and those are the assets that will be sold to Flex during 2025 and the majority of the cash flow coming in 2025. Maybe worth pointing out here, on the inventory, we have SEK 13.8 billion you see here. It's actually SEK 14.7 billion, but SEK 900 million of the inventory is held assets for sale, but inventory at the end of the year. So we make an inventory reduction of some SEK 3.3 billion currency-adjusted for the full year 2024, and we're very pleased and satisfied with how our inventory development has performed. We have lower borrowings, some SEK 2 billion lower borrowings, you can see there, which, again, is also good to see how we continued to drive down our net debt. And as I've already talked about, the assets for sale to Flex are reclassified for the purpose of the balance sheet. Net debt is now at 2.5 ratio. This is in line with our financial policy. We continue to focus on lowering our net debt, and we have had good cash flow and that has helped us to continue to lower our net debt. And the sale of the Orangeburg facility will free up SEK 1.4 billion of cash. And again, that will further support us as we continue to focus on lowering our net debt. Inventory, again I've touched upon it in the balance sheet a little bit earlier. In total, at the end of December, we had SEK 14.7 billion, of which SEK 900 million was the Orangeburg inventory called out specifically separate and the assets held for sale. So again, in total, SEK 3.3 billion inventory reduction. Again, very pleased with that. A record year for cash flow. It's very positive to say that. Despite the challenging market and conditions, we have been able to deliver SEK 6.9 billion of positive cash flow. We should also have in mind that 2023 was a strong year for cash flow at SEK 6.5 billion. So when you combine the last two years, we have generated more than SEK 13 billion of positive cash flow, which has been important to us. The Board proposed a dividend of SEK 1 for 2024. This is a payout of 43% of our reported earnings per share. And if you adjust for items affecting comparability, it's a 32% payout. Our dividend policy is around -- above 40%. So our payout of 43% is in line with our dividend policy. And with this, we take a balanced view of the current market conditions, of our current financial position and also our continued commitment to reducing net debt. With that, Pavel, I can pass back to you.
Pavel Hajman: Thank you, Terry. So while we closed the chapter now on 2024, our strategic priorities and our transformation remains and is continuously ongoing. And since 2021, we measure our transformational progress and speed through the so-called operational ambitions, including the share of electrification, the number of connected devices and the sales of robotic mowers and which we have report on annually. During 2024, the share of electric products increased and reached 44% of our motorized product sales versus a target of 67%, and I see this trend to continue in the years to come. However, I would like to take the opportunity and also emphasize that our portfolio of petrol-powered products, there is a vast number of applications where petrol-powered products will be required to do the job during many years ahead. And here, we have an outstanding position with high-performance products. And we will continue, of course, to focus on these segments as well. Connected devices grew to 4.9 million. This is driven by smart watering and robotics. And while sales then of robotics reached SEK 7.2 billion at the end of this year. And as I said, we have had a very strong growth for professional robotics with growth in our entire Pro portfolio. However, sales in the residential segment declined due to increased competition in the low-value segments as well then as restrained consumer spending, particularly then for the high-value segments. We should also remember that 2023 was very strong on sales for robotics, partly due to the deliveries that we had from our backlog from 2022. Our focus and our commitment to industry leadership in robotic is firm. And our launch program now for this year, for 2025 season is a strategic move to really capitalize on the transition to boundary wire-free lineup and offer solutions that really provide convenience and reliability to our customers, and this in a market that will continue to grow for many years ahead. So let us take a closer look then at the robotics also and our strengths, which we have depicted on this slide. And our strategy for robotic mowers is clear: our key winning areas are the professional segment and the high-end, high-value residential segments. Here, we excel in durability, reliability and the customer-centric technology development. Our unique worldwide dealership network is also key to support and build long-term customer value and satisfaction. And these areas, they account for around 85% of our robotic business. And we have a number one position in both of these areas. The third area is the entry segment for robotics, typically for smaller gardens mainly sold through retail channels. Here, competition is more intense, and we have a lower share, but we are still positioned as the premium choice since long. And I very much now look forward to this season where we have a strong setup and offer in this area as well with a number of entry-level products, both under the Gardena brand as well as under the Husqvarna brand. So while robotics is a core component then of our strategy and fundamental in really delivering value to our customer, it's equally important then also to recognize our broader strategic vision. And as we enter a new strategic period here by the end of '25, which we will update later on in the year at the Capital Markets Day, it is still important to underline that our focus continues on these value-creation areas: robotics, battery, professional solutions and watering. And as they present long-term opportunities and they have a strong growth and margin potential. And our product lineup for this year is really reflecting our commitment to all of these segments and throughout all of our divisions, and they are depicted here on this picture. As for watering, Gardena is introducing now the AquaPrecise irrigation system. This is optimizing water distribution for the precise lawn coverage, around the lawn that is irregular, and this is programmable via the Gardena Bluetooth app. We also have a new solar-powered large AquaBloom set that actually waters up to 30 plants automatically. This is something that is ideal for raised beds, for terraces or balconies where you don't have nearby electricity or water connections. In the battery area, we have a new addition to our 36-volt BLi battery system, mainly by Husqvarna Forest & Garden, but also by Construction. This is offering significantly more power. It's our biggest battery so far, ideal for high-demand applications. And it's actually paired with our new fast charger, and these batteries can charge to 80% in just 20 minutes. And this will also go well together with our new 50 cc equivalent professional battery chainsaw that is coming later this season. Our wheeled assortment now also includes a new all-wheel-drive battery rider, and this is for large gardens and for uneven terrain. And this all-electric, low maintenance rider really offers excellent maneuverability and features a dynamic mowing system for optimal efficiency and performance. Robotics, we are launching nine boundary wire-free residential robotic lawnmowers, all with the integrated GPS navigation. Gardena's 3 versions of the SILENO 3, they marked the group's first boundary wire-free robotics sold in retail. And in addition, Husqvarna has three NERA models in Europe and actually four new boundary wire models for residential customers in North America. And all NERA mowers now, including also products which are in use, will be upgraded with a systematic mowing capability, which is increasing the area capacity by 50%. For the professional segments, we are launching four new robotic lawnmowers for the professional segment, further enhancing efficiency in areas of golf, sports and landscaping. And then in total, for the whole assortment, we have 13 new boundary wire-free models then which, together with the already earlier existing boundary wire-free model, provides a total assortment of 24 models, covering really anything from the entry level up to the largest professional mowers and anything in between there. Finally, also Husqvarna Construction, they are launching the Husqvarna auto grinder. This is the beginning of a journey to significantly improve also productivity in the light construction industry through automation. And this self-operating floor grinder relieves the operators from the most time-consuming part of the grinding process and allowing them to complete multiple floor finishing tasks in parallel and, thereby, of course, significantly shortening the time on the work site. And this groundbreaking innovation, we will be launching at the Bauma later this year in April. So to conclude, Husqvarna Group is very, very well positioned for the 2025 season and onward. Sustainability, as you know, is a key part of our long-term business strategy. We're making good progress here towards achieving our Sustainovate 2025 agenda and -- which is containing then three key targets on carbon, circular and people. As for carbon, in quarter 1, we announced that we had reached a significant milestone and halved our total absolute CO2 footprint in just a bit over seven years. And summarizing now the year in quarter 4, we have to date reduced our absolute CO2 emissions along the value chain with minus 56%. So meaning we maintain our decarbonization journey. And we have, of course, then exceeded the '25 target of minus 35% with a large margin. And the progress in CO2 reductions between quarter three and quarter four , in principle, remained flat. As for circular, within the quarter, we added four new circular innovations. We are now at 37 completed, and we are on track then to achieving our target of 50 circular innovations. The four ones that have been added in the quarter here mainly relates to maintenance support -- comprehensive maintenance support for pressure washers, packaging solutions, for the Husqvarna workwear, but also for, so to say, two sites when we talk about the packaging for products and also recirculation of water from testing rig, which also provides then heating energy for the site, all in accordance with our 5R evaluation principle. As to the people target, we further increased sales of our assortment of sustainable choices, that is the products and solution offerings that have a significant and proven lower impact on the use of natural resources and the environment. And after quarter 4, we are now at 3.9 million sustainable choices sold. And we are continuing, of course, the journey now to empower 5 million people by 2025. So to summarize, despite continued challenging market conditions, we have delivered significant cost savings, operational efficiencies. We have improved our cash flow and also reduced our net debt, ensuring the right foundation now for the continued transformation. And further structural changes have been implemented to support our strategy execution in North America through the partnership with Flex. At the same time, we are delivering on our sustainability targets. We are rolling out an extensive new product launch program, again, strengthening our foundation for long-term growth. And these efforts are all made with dedication and precision by a very large team within the Husqvarna Group. And I would like to take this opportunity to thank all my colleagues and business partners also around the world that we have for their dedication and support during 2024. And I'm looking forward now to 2025 in the season. So with that, I say thank you and let us open up for the Q&A session, Johan.
Johan Andersson: Thank you very much, Pavel and Terry. So let's start and open up the Q&A session. And just to remind you, you can post your questions via the web interface, or over the telephone. So please, operator, do we have any questions from the telephone conference at this point of time?
Operator: [Operator Instructions] We have a first question from Gustav Hageus, SEB. Please go ahead, sir.
Gustav Hageus: Thank you, operator. Thanks. Good morning guys. Thanks for taking my questions. If we start with the announcement from last night with the exit of Orangeburg, I guess, it does come at the time when we see a lot of debate on perhaps reshoring in the U.S. rather than sell those assets. And given that you take a SEK250 million charge, I understand most of them are costs, not write-downs. But you also say that, if I understand correctly, that OpEx will not improve following this change in 2025, but it will be slightly higher. And you don't seem to take a capital gains then despite dollar depreciation and so forth. So I'm just wondering if - has this been a discussion with your lenders that this would be a way forward, to perhaps relieve your balance sheet? Or is this purely your own sort of strategic decision?
Pavel Hajman: Terry, go ahead on that.
Terry Burke: So first of all, to be clear, no, this is not a discussion we have had with our lenders. This is purely an internal decision we have made. We have an ambition for this company to become more asset-light, and to manage our working capital in a very efficient way. So it was our decision. It was a key strategic decision for ourselves. You've made reference to the savings. You're correct, in the first couple of years, it will have a small negative impact operational cost wise as we have transition and integration costs. Also Flex, a small markup, et cetera. But we have to look at the bigger picture. And once we get to year three and onwards, this will be a cost-saving activity for us. And it allows us to be even more competitive in the U.S. market.
Pavel Hajman: And maybe I can also add. It should be viewed in the little bit longer term, where we have been working on improving our competitiveness, and profitability on the North American market for a couple of years now. With consolidation of our reproduction structure over there, as well as looking over the business and exiting low profitability areas. And this is now another step in this direction, which will really enable us and enhance our focus on the sales activities in North America, as well as driving the transition towards robotics, towards battery products, while we maintain the wheeled products at a stable production, and we can focus, so to say, forward-oriented in this.
Gustav Hageus: All right. And may I ask, we understand you've been quite direct now, the season in your discussions with suppliers that you are keen to bring down costs, from them in your procurement. Could you elaborate a bit on, if these discussions have been fruitful? And any potential impact to your gross margins, as you see it going into 2025?
Pavel Hajman: Well, we do run our cost efficiency programs as we have signaled here before - commented on before. And of course, we are looking through the whole, let's say, lever aspects that we have, also including cost-out and cost-down on our supply, on our components, on various raw materials, et cetera. We don't really comment on this specifically, but of course, our ambition is to be successful, and we have been successful partly already in this year. And the striving is, of course, continuing in the coming years as well.
Gustav Hageus: Okay. So yes, let's leave it that then. But then going to robotics then, as you mentioned, you're rolling out a lot of boundary-free products here. And so are most of your competitors, I assume. So can you give us some idea, what you think pricing will be in the legacy categories in 2025? Will there be a material price decrease in these boundary wire products? And also I think you mentioned previously that your Gardena free has - you've had the ambition to have listings at €1,500. So in retail, could you give us some color on if those price points have been altered in any way, following discussions and sell-in period now with your retailers?
Pavel Hajman: We have good listings of the Gardena boundary wire products, just as we told last quarter. That, of course, remains. The price points for Gardena products is between €1,500 up to €2,000. And then for the entry-level products of Forest & Garden, it's between €2,000 up to €3,000. It is a fact that there are competitors that are cheaper than us, but that has been the case also earlier, as you know. It's not anything new. There is, in general, of course, the competition on the market, where price is one component, but where there are other aspects also to judge. And that is, of course, the reliability of the product, the trust that you have in a brand, and also the service network that we provide throughout both brands actually, with a very, very extensive dealer network, not only for service. But also for installation and advice and support. And at this point of time, we feel comfortable with our positioning on the market, with our listings and also with the price points. And of course, again, the season has not started, and let's see how that develops.
Gustav Hageus: And in terms of pricing in the legacy categories, not just yours, but in the market, do you expect price to be down in boundary wire products this year? And if you can give us a rough indication on ballpark amount?
Pavel Hajman: We - of course, these products will, over time, disappear. There is no doubt about that. There will be quite a small remaining part of these products. Some customers, which have boundary wires installed today, they might opt actually to continue if they want to upgrade to a new model. But they don't need to redo the installation, and that will be positive for them. I would expect prices to be down a little bit on that, but we are not driving this price down in any active way.
Gustav Hageus: Okay. Thank you.
Johan Andersson: Thank you very much. Operator, do we have another question from the telephone conference?
Operator: Yes. Next question from Bjorn Enarson, Danske Bank. Please go ahead, sir.
Bjorn Enarson: Yes. Sorry, mute. A question also on robotics. You have this split between the Pro and entry and mid to high, et cetera. Is it possible to get the - how those looked like a year ago? I mean, it would be interesting to see growth levels, or how entry has decreased to get a better flavor on the segment development?
Pavel Hajman: Well, we don't really disclose market shares in that respect as a comparison towards competitors. Of course, we have our own analysis and our own view on this, but we don't disclose openly the market share development. It is clearly so that we are a number one position in both the professional and the high-end consumer segment. We are number two in the residential segment. And market shares go a bit up and down over the years. Yes, we have lost some market share in the residential, due to the fact that we didn't have the appropriate boundary wire model last year. We do have that for this year. And we expect that, of course, to regain some market shares now.
Terry Burke: And maybe just to be clear, and Pavel did refer to it earlier, we did have strong double-digit growth in the professional segment during 2024. It was the lower entry-level robotic that declined from our perspective.
Bjorn Enarson: And maybe you've said it, and I just missed it, but the market - how was market growth for the different segments or in total?
Pavel Hajman: Well, overall, there is a double-digit growth in the robotics segment, which historically has been there and, which will continue for a number of years.
Bjorn Enarson: And consumer market development last year?
Pavel Hajman: It has been slightly stronger than average of the total market.
Bjorn Enarson: Okay. Got it. Thank you.
Johan Andersson: Okay. Thank you very much, Bjorn. And just to pop in a couple of questions here from the web interface. I think it's a question for you, Terry. Do you expect to round down inventory further now in 2025? Or will production match capacity resulting in better capacity utilization? How do you see inventories versus capacity utilization?
Terry Burke: Yes. A couple of things to point out there. First of all, we do not expect a further SEK3 billion of inventory reduction in 2025. We dealt with the situation we had for 2024, and even 2023. So we do not expect those levels. However, we still have an ambition to manage our working capital in a very efficient way. So we will further lower some of our inventory levels, but nowhere near to the level of the SEK3 billion. Maybe also just to remind, we will also take SEK900 million out of inventory, due to the sale of Orangeburg. So that is already going to impact 2025 as well.
Johan Andersson: Good. And another question here from Johan Eliason at Kepler, which says, do you have any other own manufacturing left now in the U.S.?
Pavel Hajman: Yes, we actually do. We have two more divisions, of course. We have the Gardena Division active through the Orbit brand name, and they have their own manufacturing in Salt Lake City. And then we have also the Construction Division, which is active in the U.S., where we have a reasonably large site outside of Kansas City in Olathe.
Johan Andersson: Good. And a quick one for Terry. Net financial items, when we look at this for Q4, and next year, is - are we now on a representative level? Or should it continue to go down next year?
Terry Burke: Yes. I would expect it to come down slightly again next year. Borrowing costs are becoming cheaper, and our net debt is becoming lower. So I would expect it to be a little bit lower again next year. So...
Johan Andersson: Okay. Thank you very much. Operator, do we have any other one in the telephone conference?
Operator: We have a follow-up question from Gustav Hageus, SEB. Please go ahead, sir.
Gustav Hageus: Thank you, operator. Yes, thanks for taking my follow-up. I have two. Firstly, how to think about Q1 now into 2025. I think we're facing 40% negative growth - or organic growth 12% two years back. If I recall correctly, it was a gradual improvement in Q1 last year. So how do you see the market playing out for you, now going into the early part of '25? Thanks.
Pavel Hajman: Yes. Well, as you know, quarter one is a pure sell-in quarter. And the sellout and the consumer sales doesn't really start until in quarter two. So of course, overall, as to the consumer aspect, it's very difficult to predict this. Of course, we are hoping that we will get some benefit from the fact that interest rates have been continuously reduced, that the inflation is now stable on a much lower level. That should potentially give us support for that. As to the channel partners, they show great interest into all our new products that, we are now launching. They have, I call it, a cautious positive view of the year going forward. Again, it's depending on, of course, the consumer demand, the sentiment, but also, of course, the weather in the end of the day. And we see a rather, let's say, good development in January, but it's still very early to say also regarding the sell-in aspect as we are only one month gone, so to say, in this three-month period.
Terry Burke: Maybe to build on that, Pavel. Also inventory in the trade, we would consider normal levels of inventory in the trade going into quarter one, maybe with the exception of watering, which I did make reference to in the Gardena Division slide. I think there is a higher level of inventory for watering going into this year. But other than that, I think normalized inventory levels.
Pavel Hajman: We should maybe also add then to give a geographical aspect and maybe also say that, of course, the Construction Division have for a period of time now seen growth coming through in Europe, which I believe will continue. But we still have a declining market in the U.S. and it's, of course, very uncertain what the whole internal economy and how that will develop and what kind of effects that will have on the construction industry. On the material and products that goes into the construction industry, et cetera. But we also know that a return of the construction industry is, of course, longer in time and normally can take anywhere between six, nine months, up to a year or one and a half year. So I would say that there will be a slower return in the construction industry in U.S. most probably.
Gustav Hageus: If I might add one question on Construction. Could you give us a comment on competition and price - pricing in the aftermarket and service part of that business? I think you previously referenced that, there has been some pressure in that area from perhaps Asian competitors. That would be interesting? Thanks.
Pavel Hajman: Well, the Asian competitors have entered partly into the diamond tools business, but also into the surfaces and floors. And of course, again, there is a difference there. But we see that our aftermarket has been growing for construction as well as for the Forest & Garden division. So we are very pleased with that. We are strengthening our operational efficiency in the area of aftermarket. And again, our products are offering a lot of value to the customer, productivity, quality, the combination with experienced support staff, not only from ourselves, but from our dealer channel as well. So again, we feel that we are standing quite strong in the overall construction industry, both in the U.S. as well as Europe if we look back on 2024.
Gustav Hageus: I appreciate that. Thank you, Pavel.
Johan Andersson: Thank you very much, Gustav. And another question coming in from Henrik at Carnegie. With the current proposed tariffs levels importing into the U.S. from China, can that be a significant amount? And how do you see that with the current, so to say, proposed levels?
Pavel Hajman: Yes. Well, it's a good question, and maybe the first comment should also be that we don't really have any import from Brazil or Mexico, which has been, of course, the two main countries then the tariffs are going in and out throughout, as we speak, most probably. As for China, we know by fact now that 10% is going to be added on the tariffs that already exist. If it stays at that level, that is not a significant amount for us that we can handle. There are, of course, ways of handling this, considering price increases; considering, of course, renegotiation with suppliers; considering, of course, to focus more on operational efficiencies that we can mitigate with. So we will and are already looking into various ways. The question is just, will it stay at that level or will it continue? And also the question is what will happen on the tariff question, with regards to Europe and the importation - the import of goods into the U.S. from Europe, as we are also supplying products from Europe into the U.S., and that remains to be seen.
Johan Andersson: Good. Thank you very much. And another question was around the slide regarding the operational ambitions that you showed. Last Capital Markets Day, you showed that those were up and including 2026. Now if you have a new Capital Markets Day now in 2025, should we expect news there, or a different view going forward? Can you give any glimpse there?
Pavel Hajman: Well, of course, we do have a Capital Markets Day for a reason, to be able to present our plans, and we will do that at that time. But our ambition remains - I mean the trajectory for all three of our operational ambitions is positive, despite the fact that we have a bit of a downtick now on robotics for this year. But again, the trajectory is there. And basically, all of these are driven also by, may I say, global trends - global macro trends, not the macroeconomic, but global, let's say, technology development trends. And our ambition is, of course, to continue on these trajectories. And how to do it? Well, that, we will be discussing later in the year.
Johan Andersson: Good. Thank you very much. Operator, do we have another questions over the telephone conference at this point in time.
Operator: Yes. We have a question, yes, from Fredrik Ivarsson, ABG. Please go ahead, sir.
Fredrik Ivarsson: Thank you so much. One question on robotics - one more, I should say. With the Q1 obviously being a sell-in quarter and now you're launching a bunch of new products, as you said, within, I guess, both Pro robotics and residential, my question is more targeted towards residential. You said retailers have shown some good interest in these new products. Does this mean that you expect growth within residential robotics in Q1?
Pavel Hajman: Our ambition is to have a growth in the robotics area overall in 2025, absolutely. And we do hope that the listings that we have and the orders that we will get - that we have and we'll get over the year will also, of course, result in a growth in the residential area.
Fredrik Ivarsson: Okay. So it almost sounds like the retailers are a bit maybe cautious in terms of building up inventories ahead of the season due to the, I guess, macro uncertainties?
Pavel Hajman: Well, there are many reasons for it. I think our biggest market in Europe is Germany. And I think you understand very well and know how the economic situation is in Germany, and the uncertainty that it brings with it overall for, so to say, any kind of consumption in Germany for the coming year.
Fredrik Ivarsson: Yes, thank you.
Johan Andersson: Thank you very much, Fredrik. Operator, any other questions over the telephone conference?
Operator: At the moment, there are no more questions registered.
Johan Andersson: Okay. Then we have another one here from Pareto, Alexander. I think this one is for you, Terry. Can you elaborate a little bit around the main driving forces behind the deviation chart when we talk about - you have a bar that's called volume/price/mix? And can you elaborate a little bit on what's the price effect here, what's mix and what's volume? Can you give any comments around that?
Terry Burke: Yes. Obviously, I can't and won't go into too much of the detail. But of course, if we talk about a mix perspective, we've already communicated that robotics, for example, year-over-year was a negative 11%. So that is a negative mix impact as an example. Lower in our inventory level by some SEK3.3 billion, of course, has had an impact on our underutilization within the factories, and that there has been an overall sales decline. So again, all of these factors have impacted the result. Price is a low single-digit impact during the year. So yes, there's a negative price development, but it's not a huge negative price development. It's a small single-digit negative price development. I think that's basically how I would kind of wrap it up.
Pavel Hajman: And maybe to add to the mix also. You have, of course, the watering as well as construction in U.S. Give those three bigger.
Johan Andersson: Good. A follow-up there from Alexander. If you're working with your inventory, but the decrease might be a bit lower this year, can't you have then a better capacity utilization this year, compared to last year?
Terry Burke: Our expectation is a better capacity utilization this year to last year, yes.
Johan Andersson: Great. That's clear. Operator, do we have any other questions from the telephone conference?
Operator: No more questions from the phone.
Johan Andersson: Okay. Then I think we have a final one here also on robotics. So you talk about the boundary wire-free market and also in the mid to high area. Are you seeing competition coming in there as well? And where are - what's typically a premium for a boundary wire-free versus a boundary wired robot? How is your view there?
Pavel Hajman: Well, we've had a good development overall on sales of boundary wire-free robotics across the Forest & Garden assortment pretty even throughout all of the quarters, and that is roughly around one-third of that assortment that we have in terms of sales. Of course, there is a premium on that. I think that premium, of course, depends on who is the supplier. And that premium for us also depends a little bit on where you are within the, so to say, Forest & Garden segment, if you are on the really high level premium residential products, or if you're in the mid-segment, or if you are one step lower now in the entry level. I think these premiums are a little bit differing. Overall, the technology, of course, initially costs more. But over time, the cost for that new technology will go down as component prices are going down, as scale is helping us with that also.
Johan Andersson: Good. Thank you very much, Pavel. And then we have a final question here. You talk a lot about the U.S. and Europe in terms of market, and the questions are circular around that. But you have a pretty good business in emerging markets. How is your view there? And do you see growth prospects there over the long-term?
Pavel Hajman: It differs between divisions, actually. I would say, simplified Gardena is - has a very limited presence in emerging markets. And it also depends on what you really call emerging markets here. But again, Gardena has a very limited presence there. Both Construction as well as Forest & Garden, our presence in most terms of emerging markets. If we would like to include Latin America in that, otherwise, of course, Southeast Asia, China, India. And our business in the Forest & Garden is in Asia quite limited. It's mostly then directed towards professional and light agriculture. In Latin America, we have quite a sizable business that has developed very well, with Brazil as our main market, but also the surrounding markets in Latin America. And then Construction is also present there and has quite a strong focus on emerging markets in terms of Middle East, as an example, in terms of also India and China, and that has gone quite well. Historically, we've had a good development there. There will, of course, be opportunities also going forward. Where certain of the conflicts have, of course, resulted in a need for rebuilding societies later on in the coming years. And we are preparing for this, of course.
Terry Burke: Maybe just to add. Forest & Garden Division in quarter four, there was strong growth for emerging markets in quarter four, which offset the negative development in North America and a small Europe. So there was growth, absolutely.
Johan Andersson: Good. Good to hear it. Thank you very much. So I think with that, we are concluding the presentation for today. And I would just like to remember you that we will present tomorrow at Danske Bank here in Stockholm, and then week in London at Carnegie. So please feel free to join those sessions as well. So with that, we thank you very much for today, and have a nice day. Thank you.
Pavel Hajman: Thank you.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.